Operator: Good day, and welcome to the Vista Outdoor Quarter Two FY 2019 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Kelly Reisdorf. Please go ahead.
Kelly Reisdorf: Thank you, Cassidy. Good morning, and thank you for joining us for our second quarter fiscal year 2019 earnings call. With me this morning are Chris Metz, Vista Outdoor Chief Executive Officer; and Mick Lopez, Senior Vice President and Chief Financial Officer. Before we begin, I'd like to remind everyone that during today's call, we will be making several forward-looking statements and we make these statements under the safe harbor provisions of the Private Securities Litigation Reform Act. These forward-looking statements reflect our best estimates and assumptions based on our understanding of information known to us today. These forward-looking statements are subject to the risks and uncertainties that face Vista Outdoor and the industries in which we operate. We encourage you to review today's press release and Vista Outdoor's SEC filings for more information on these risk factors and uncertainties. Please also note we have posted presentation materials on our website at vistaoutdoor.com, which supplement our comments this morning and include a reconciliation of non-GAAP financial measures. With that said, I'll turn the call over to you, Chris.
Christopher Metz: Thank you, Kelly, and good morning, everyone. Two quarters ago, we announced a new strategic plan to put Vista Outdoor back on the path to success. In a very short time since then, we've made much progress on that plan. Here some of the highlights since announcing our new strategy. We've now delivered two solid back-to-back quarters. We've taken significant steps to optimize our portfolio including closing our first divestiture, our eyewear business. We've begun to – the divestiture process on our Savage brands and we're seeing encouraging initial interest. We've hired strong leaders for our Bushnell CamelBak and BLACKHAWK businesses. I've completely restructured my corporate leadership team taking layers out and consolidating positions to reduce overhead. We've also reduced our physical footprint in corporate by consolidating facilities. We have placed an even greater emphasis on e-commerce and digital marketing across all of our brands by adding a higher level e-commerce executive to the leadership team. We've driven multiple other cost savings and efficiency initiatives across the enterprise from procurement to supply chain to sourcing to manufacturing efficiency to payroll consolidations and more and importantly, we've introduced the winning culture to our entire organization. I will discuss these initiatives in the quarter in much more detail, but I believe the executive summary is that the transformation is taking shape. We're seeing results and are more confident than ever that we now have the tools and plan in place to complete this turnaround to get this company back to profitable growth and to see more successful Vista Outdoor for the future. So today, I'd like to talk about what we've accomplished this quarter, review the market challenges that we continue to face and our plan to mitigate those challenges while continually delivering results. Let me start with some more details on the quarter. We delivered a solid Q2, we exceeded our internal plan on both revenue and earnings per share. Sales for Vista were $547 million and adjusted EPS was $0.05. At the segment level shooting sports sales and adjusted gross profit both increased sequentially from quarter to quarter two with an outdoor products adjusted for the eyewear business, sales were relatively flat year-over-year sequentially, organic sales were up 6%. And it is important to note that we delivered another solid quarter, while we're also completing our sale of the Bollé, Cébé, and Serengeti eyewear brands. I think this demonstrates that the existing team can deliver results both operationally and strategically at the same time. As we said when we announced the sale, we plan to use the proceeds to pay down debt. And I'm pleased to say that in quarter two, we paid down $143 million in debt. Year to date, we've paid down $176 million in debt and since October of last year, we've paid down a total of $307 million of debt. We've also made progress on a previously discussed refinancing actions. As you know earlier this year, we entered into an amendment to our existing credit facility to give us covenant relief through the end of our fiscal year. We did this to allow us adequate time to put in place a more flexible asset based loan structure that will facilitate the completion of our strategic transformation plan and support our pursuit of future growth in our core categories. I'm pleased to say that we've completed our structuring discussions with our lenders and received commitments from them for a new facility that is tailored to our strategic path forward. Mick will provide more details on that in a moment. So as you can see, we've made incredible progress in a relatively short period of time. We are demonstrating that we can execute our transformation plan and still deliver against the bottom line. So now let's talk a little bit more about the progress on the transformation plan. As you know we made the decision to rightsize our portfolio of brands and focus on four core categories, ammunition, hunting and shooting accessories, hydration bottles and packs and outdoor cooking products. We also decided to explore strategic options for brands that we didn't deem as core to our business going forward. As I said earlier we just completed the sale of the eyewear business in early September. That sale is an important first step in transforming our business and we're eager to build on that momentum. Our team is now laser focused on the divestiture process for Savage arms. We've chosen a financial advisor for the transaction and are beginning to engage with potential buyers for the Savage brand. Initial interest leads us to expect that we will have a strong auction process with bids from both strategic and financial buyers. I'm pleased with the interest level we've had and I believe we will have more news to share before the end of the fiscal year. Concurrently, we're also working on a number of other initiatives to focus our brand portfolio and make sure we are the most competitive we can be in our core product categories. We took several steps during the quarter to free up resources that we can better deploy in these categories. First, we sold certain assets associated with our small hunting decoys brand final approach to one of our retail partners. Secondly, we've begun the process of pursuing strategic options for the Jimmy Styks stand-up paddle board brand. So as you can see, we are making progress on our turnaround. And while we are absolutely approaching this strategy with a sense of urgency, we are also acting in a deliberate process manner following a disciplined plan to ensure smart strategic and financial decisions are made each step of the way. In addition to these portfolio actions, we've also taken steps to strengthen our brands and improve their ability to continue to compete and win in our core categories. We've restructured our business units and moved responsibility for sales, marketing and other core customer facing functions to our brands to drive accountability and results at that level. And we know we can achieve winning results without the right talent and culture. I'm pleased that our transformation plan is resonating with some seasoned and successful brand leaders who want to be a part of this turnaround. We have attracted new talent to invigorate our brands and lead them into the future. Vishak Sankaran is now the President of Bushnell. Vishak is the seasoned executive with a long history of success at other consumer products companies. And Vishak is no stranger to turnarounds and he's already well on his way to a more engaged and successful Bushnell. We also recently welcomed Greg Williamson as the new President of CamelBak. We already – we are already seeing Greg's impact and focus on getting CamelBak back into fighting shape and take back market share in a category that we created. And a BLACKHAWK! we brought in Josh Waldron. Josh is a successful entrepreneur and the founder of brands like SilencerCo and nobody embodies our new focus on founders' mentality like Josh. I'm excited about the potential these great leaders bring to these iconic brands. I mentioned culture and want to elaborate on this for just a moment. With any great organization I've been a part of in the past. A key ingredient for success was the underlying culture. To me, culture is behavioral tendencies. We all wake up each day and tend to behave in a certain way and all great organizations tend to exhibit behaviors that are consistent with long-term success. At Vista, we've identified and defined these behaviors and have begun to roll them out to our entire employee base. Our people are excited about it and I can tell you from personal experience, this will become the secret sauce of our organization's success going forward. So while portfolio optimization is one of the keys to a successful transformation, it's not the only focus area. We've also focused on improved profitability across the business. To expand gross margins, we have focused on reducing costs through both improved sourcing and production efficiency initiatives at our owned manufacturing plants. We've made great progress on these initiatives and expect the investments we've made in the first half of the fiscal year to drive margin expansion in the second half of the fiscal year and beyond. We've also undertaken several initiatives that have reduced corporate staff and consolidated corporate functions under fewer senior leaders. This allows us to go forward with a leaner corporate team and place more emphasis and investment at the brand level. In addition, we made the decision to reduce our corporate footprints and are in the process of finalizing a sublease for our Farmington Utah facility. The Farmington office space is much larger than we need is our most expensive piece of corporate real estate and is an unnecessary cost to incur during our turnaround. We've determined that we can use our other two corporate facilities in an Anoka Minnesota and Arlington Virginia to house our corporate and shared services teams. We believe these are important steps to take as we continue our transformation. While I'm up – while I'm optimistic about the future of Vista and confident in our ability to succeed we're still facing a number of external challenges that will have an impact on our business. The first challenge is the market itself. Like the rest of the industry, we do not see a return to growth for the ammunition market in the near term. We had been expecting to see some improvements over the prior year in the back half of this year, but those expectations have not come to fruition quite yet. Rimfire, where we are the clear market leader continues to be down year-over-year and the 223, 556 tactical shooting market remains soft. Our ammunition distribution channels are back to normal inventory levels and shooting trends are still strong, but we have yet to see evidence of a sustainable recovery in consumer demand. POS and sell through data have yet to demonstrate any sustainable positive trends. Additionally, the pricing environment in certain ammunition categories remains very challenging. We face competitive pressures from a certain other ammunition producer who has reduced pricing to levels that we do not believe to be sustainable. Though we do not intend to chase any of our competitors to the bottom and expect pricing to stabilize in due course, we will take action to defend our leading market share position in the short term. Despite these challenges, there is reason for optimism with regard to our ammunition business. We continue to be the world's leading ammunition producer and are holding share across each of the categories we compete in. And despite the challenging market conditions, we expect to see sequential growth quarter-over-quarter for our ammunition brands in the remainder of this year. This is due largely to the innovative new products we continue to introduce and the strength of our long and deep relationships with our channel partners. We're also seeing strong sales in the traditional hunting market categories over prior years such as big game, centerfire rifle, waterfowl loads and heavy field loads which are some of our highest margin ammunition products. I'm confident we can leverage our leadership position and ammunition to continue to capture market share and whether this market downturn. In our outdoor product segment, the market picture is mixed. The market for our golf and outdoor cooking products continues to grow and Camp Chef and Bushnell have strong market positions within their respective product claims. The market for hunting and shooting related accessories remains largely flat. In hydration, we have seen some growth in packs but the market for bottles remains largely flat and competition is fierce. Beyond market challenges, we also faced increased commodity cost in our ammunition business in Q2. Though we expect commodity pressures to be reduced in the second half, price levels still remain elevated over the second half of our fiscal year 2018. The final challenge I want to discuss is the recently announced tariff increases on certain goods imported from China. Some of our brands will be impacted by these tariffs, while others will be largely unaffected. Vista Outdoor was an active participant in the regulatory process and worked to gain exemption from the tariff list for several of our product categories. We were successful on multiple fronts, getting exemptions on helmets and sporting optics which significantly reduced the impact of the tariffs on our overall business. However several brands in our portfolio are still affected, and due to the specialized nature of the manufacturing, these are not products we can simply make elsewhere in the short-term. We expect that affected brands will absorb the impact through a combination of price increase and reduced margins but the final results will differ for each brand. On a positive note, we do not currently expect the cumulative financial impact on Vista to be material and is factored in the net effect of tariffs into our full year guidance. Before I finish today, I'd like to spend just a few minutes talking about some of our brand wins in the second quarter. While the biggest takeaway from Q2 was our ability to make progress on our strategic transformation, while simultaneously improving the underlying profitability of our business; I don't want any of you thinking there aren't exciting things happen within our brands. As we've said before, delivering innovative new products will be critical to our future success in all market conditions and our brands continue to deliver on this front. I'll just mention a few that will provide some color to what our brands are focusing on and where we're winning. First, we won a significant Ammunition Contract with the Department of Homeland Security. This is the largest law enforcement contract of its kind in our Federal Ammunition team's history. So as you can imagine, we're very excited by this news. It's a five-year IDIQ, for up to $75 million in federal premiums new 223 duty rifle ammunition. This win is a testament to the federal team for producing such a trusted product that will be relied upon by our men and women in uniform. Our 224 Valkyrie ammunition just received ammo innovation of the year at the 2018 National Association of Sporting Goods Wholesalers. As you recall, we introduced the 224 Valkyrie early on in the year and it has become the industry's hottest new load. We are excited by how it has been received thus far in the potential going forward. We also introduced the Tungsten Super Shot load to both waterfowl and turkey hunters. This new TSS tungsten alloy gives us the hardest hitting payload at extreme ranges while also giving hunters the highest pellet count available. These new loads have the season's hunters hitting limit faster than ever. And we announced two new lines of Federal Premium's Centerfire big game loads and started a new bulk ammo campaign this fall for pistol and rimfire called BYOB, bring your own bullets. There's a lot of excitement in the retail channel over these product lines, and we anticipate delivery in the fourth quarter. Lastly, in our ammunition business, we recently announced our partnership with General Dynamics to capture next year's Lake City contract. The partnership of Federal and General Dynamics brings together the industry's biggest and best brands giving us the strongest opportunity possible to capture this contract. Savage's model 110 refresh featuring the innovative AccuFit stock system has been a huge success with our consumers. Following discounting and rebate actions in Savage took last year to clear older inventory from retail channels, we are seeing excellence sell in and sell through with a refreshed model 110. Bushnell's new optics lineup has started to appear on store shelves and the initial response has been strong. The new lineup raises the bar in technical solutions for low light conditions. Customer media reviews have been very strong and this new suite of products begins to put our Bushnell team in the best position to win in years. Meanwhile Bushnell's Golf Phantom, the top selling GPS product on the market has helped the brand achieve an all-time high and tournament gift sales. And finally to build brand connections with the end consumer and grow our high-margindirect-to-consumer business, several of our brands have added customization offerings to their product lines. For example, Giro's flagship Aether cycling helmet is being offered in custom design and color configurations exclusively through the Giro website. Similarly CamelBak is offering its customers the ability to purchase customized water bottles. I would encourage each of you to visit Girio and CamelBak's websites to create your own unique custom helmet and water bottle. The strength of our brands are industry leading share positions are what first attracted me to Vista Outdoor. And downturns like the one we are currently facing, it is typically the industry's leaders with strong brands and management teams that end up on top. I'm confident with the strength of our brands and the leaders we are attracting, we will emerge as winners. So, once again, I want to thank you for being on today's earnings call. I hope you've gained a little more insight into our strategic plan and can see that we're moving forward and making good on our commitments. As I'd like to tell our team, we need to continue doing what we say we are going to do one quarter at a time. As with any journey, however, worth taking, we won't get to the destination immediately. We have to continue to make progress and build upon our momentum. I continue to believe there is tremendous potential in Vista Outdoor and that with a renewed focus on profitability and disciplined growth in our core categories, the future is bright for us. With that, I'll turn the remainder of the time over to Mick to discuss the financials. Mick?
Mick Lopez: Thank you, Chris. Good morning everyone. We have disclosed both as reported and adjusted results in our press release to assist you with in your understanding of the underlying numbers and how they compare to prior periods. You will find a more detailed financial presentation of our second quarter fiscal year 2019 performance on our website. As Chris mentioned, we are implementing our strategic transformation plan, and our second quarter results reflect continued progress. Closing the sale of our eyewear business is the first step towards our strategy to focus on our core product categories and concurrently our continued commitment to reduce our debt and improve our financial flexibility. The divestiture of Bollé, Cébé, and Serengeti brands was completed on August 21, 2018. Selling price was `a $158 million subject to the customary purchase price adjustments. We used the $143 million of the proceeds to pay down long term debt. Due to the final allocation of goodwill and fixed assets required by GAAP during the second quarter, we recorded a pre-tax loss of $5 million related to the sale of eyewear. We have taken steps towards our strategic intent to be leveraged by paying down debt. We have reduced our term loan balance year to date by a total of $176 million. We finished the second quarter with total leverage ratio of 6.77, which remains below our credit agreement covenant of 8.25. As previously discussed, we have been working to replace our current credit facility with a more flexible asset base loan structure that will facilitate the completion of our strategic transformation plan and allow us to pursue growth in our core categories going forward. We are pleased to announce that we have received commitments from Wells Fargo and other joint leader rangers for a new $450 million five-year asset from Wells Fargo and other joint lead arrangers for our new $450 million, five-year asset base revolver and $109 million five-year asset base term loan, in order to align our debt structure with our liquidity needs in the short term, we have also obtained a commitment for a $40 million second lean term loan. We believe we have obtained better terms and structure as a result of being able to share our positive second quarter results. We anticipate closing on the refinancing in November. We believe this debt structure is well-suited to our strategic path and will provide us with significantly improved financial flexibility, while simultaneously lowering our ongoing interest rate expense. Within our standup-paddleboard business, we experienced the loss of a key customer in the second quarter, accounting guidelines require us to re-evaluate our customer relationship intangibles, when there is a triggering event such as this one. The analysis shows that the future cash flows cannot support the valuation and as a consequence, we took a non-cash impairment of $23 million to the customer relationship intangible associated with the Jimmy Styks acquisition. I will now discuss our adjusted results for the quarter. First for Vista Outdoor overall and then, I'll provide more color on the drivers for each of the segments. Now onto our adjusted financial results, turning to slide 3, the company reported second quarter sales of $547 million down 6.9% from the prior-year quarter or down 3.8% on an organic basis adjusting for the eyewear sale. The year-over-year decrease was caused by lower sales and ammunition. On an organic basis, the outdoor product segment remains flat. Second quarter gross profit was $130 million or 20.7% down from $139 million or 23.7% from the prior-year quarter. Gross margin percentage was down approximately 300 basis points from the prior year quarter. Gross margin percentage was down approximately 300 basis points year over year. Sequentially from all first quarter, gross margin decreased approximately 170 basis points. Our operating expenses for the second quarter were $94 million, down 10.2% from the prior year quarter. Cost reduction actions taken in both business segments and at the corporate level, growth is declining. Interest expense for the current quarter was $14 million compared to $13 million in the prior year quarter. The slight increase resulted from a higher borrowing rate in the current period partially offset by a lower average debt balance. The borrowing rate in our second quarter was an average 5.8% compared to an average of 4.3% from the prior year quarter. The average debt balance during the second quarter was $850 million compared to $1.1 billion in the prior year quarter. Our tax rate for the quarter was 49.7%. The tax rate is affected by international tax and non-deductible tax expenses recorded in the quarter. For the second quarter, we recorded net income of $2.6 million, down from $19.5 million of net income in the prior year quarter, resulting in an earnings per share of $0.05 compared to $0.34 in the prior year quarter. Year to date, free cash flow generation was $55 million compared to free cash flow generation of $80 million in the prior year period. The decrease in free cash flow was driven by investments in working capital primarily tied to increased inventory balances partially offset by lower capital expenditures. Now I'll turn to the performance of our business segments where we report sales and gross profit. Turning to slide 4, second quarter sales in Outdoor Products were $272 million, down 6.6% compared to the prior quarter. On an organic basis, sales were flat compared to the prior quarter. To reduce sales volume is primarily due to sales were flat compared to the prior year quarter, to reduce sales volume is primarily due to sales of the eyewear brands which had sales of $19 million in fiscal year 2019 versus $29 million in fiscal year 2018. Hydration solutions business have lower sales as a result of lower demand offset by higher sales in our outdoor cooking business as a result of continued growth. Gross profit in the second quarter for outdoor products was $64 million a decrease of 14.8% from $76 million in the prior quarter down 6.9% on an organic basis. The decrease was primarily, caused by the sale of the eyewear brands. Turning to slide 5, shooting sports recorded second quarter sales of $274 million down 7.3% from $296 million in the prior quarter. Ammunition revenue decreased 11.5% versus prior year, as a result of the timing of some international contracts for centerfire ammunition and continued softness in both rimfire and 223, 556 markets. Firearm sales increased 18.7% due to new Savage arm product launches sequentially, from the first quarter firearms increased by 21.3%, ammunition increased by 3.4% with a total total segment increase of 6.2% in a challenging market. Second quarter gross profit in shooting sports was $49 million down 23% from $63 million in the prior quarter. The year-over-year decrease was a result of unfavorable commodity costs, lower pricing and lower sales volumes as described. Sequentially, this is a 9.5% increase from the first quarter. Turning to slide 6, we delivered second quarter results that exceeded our expectations while facing entering market chances. Our focus on indirect and direct sourcing initiatives and our productivity improvement plans are well underway and on track. The investments we are making amongst numerous supply chain and many manufacturing, efficiency initiatives throughout the first half of the fiscal year are expected to drive margin expansion in the second half of the fiscal year and beyond. Based upon a very strong second quarter, we have raised the low end of our full year adjusted earnings per share range from $0.15 to $0.35 to now $0.20 to $0.35. The modified earnings per share guidance reflects an increase in our core business performance. Considering all of these factors, we would like to summarize our fiscal year 2019 guidance as follows. We expect sales in the range of $2.1 billion to $2.16 billion; interest expense at approximately $55 million and adjusted tax rate of approximately 30%; adjusted earnings per share in the range of $0.20 to $0.35; capital expenditures of approximately $60 million; free cash flow in the range of $70 million to $100 million; and research and development also generate in line with our prior expectations at approximately $30 million. We expect EBITDA margins of approximately 7.5%. Shooting Sports gross margins approximately 20% and gross margins in Outdoor Products in the mid 20%s. For the first half of the year we had tough comparisons to the prior year, mainly in Shooting Sports as the rimfire market was slower to tail off last year. We expect to see profit recovery in the second half across the company as the Shooting Sports market continues to normalize. Commodity costs remain lower. Cost initiatives are realized. And new product launches begin to hit the market. Because of the divestiture of Because of the divesture of [indiscernible], we thought it would be prudent to give you a bit more color on the second half of the fiscal year. We expect third quarter sales to be approximately 8% to 10% last than second quarter sales as a result of the eyewear divesture and the movement of a significant international order to the fourth quarter. We also expect third quarter gross profit to be relatively flat to the second quarter as cost improvements compensate for the loss of eyewear revenues. We didn't expect fourth quarter sales to be up about 5% to 6% versus the third quarter. With continued favorable impacts of commodity pricing and the timing of our cost initiatives, our fourth quarter profits should have substantially increased over quarter three. At the midpoint of the fiscal year, we are on track with our financial plans and initiatives to optimize our portfolio, lower our debt, refinance with a flexible low cost alternative and continue to drive cost improvements. With that, we will open the call for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jim Chartier of Monness Crespi, & Hardt.
Jim Chartier: Hi. Good morning. Thanks for taking the questions. Just wanted to talk on the sales outlook, it sounds like your expectations for ammunition for the year is may be a little bit lower than it was three months ago. So, you reiterated your sales guidance, but are you trending more towards the lower end or how should we think about that?
Christopher Metz: Well, the guidance that we've given, Jim is the most accurate reflection of where we expect the business to be. So, as I alluded to in my opening comments it's a tough market out there, there's no question about it. But we feel good about what we've got in place both from a promotional cadence as well as a new product cadence that we see coming on market – into the market. So that's why, when we look at the improvements we're seeing sequentially particularly as we move into the fourth quarter, we feel good about where we're at from an ammunition standpoint.
Jim Chartier: Okay. And then on the firearm side of the business really strong growth this quarter, was there any timing that maybe resulted in outsized growth this quarter or is the kind of growth we should expect for firearms for the entire year?
Christopher Metz: Jim, good question. I mean what we certainly capitalized on was the 110 refresh. So, the growth we saw, I mean I wouldn't expect the firearms business to be growing at mid-teens to high-teens as it has in the first half. I think a lot of that is the success of the 110 and the initial reaction to that, but we certainly do continue to expect the firearms business to be healthy and to continue to capitalize on the innovation they brought to the market.
Jim Chartier: Great. And then on the tariffs you mentioned that your relatively immaterial impact for the full business, what percentage of your sales were impacted by tariffs?
Christopher Metz: Fortunately a small percent, I mean it's less than 4%. And really kudos goes out to our team. We've got a group of folks that including the business leaders as well as a couple of folks that focus on the relationships on the Hill every day and they did a phenomenal job in the testimonies and really pushing our case. So as a result of that we had a number of critical categories for us that were taken out of the tariffs. So the resulting impact was not by accident but was through the hard work of our team and I'm proud of what they've done. So as we've said the impact should be immaterial.
Jim Chartier: Great. Thanks. Best of luck.
Christopher Metz: Thank you, Jim.
Mick Lopez: Thank you.
Operator: Our next question comes from Scott Stember of C.L. King.
Scott Stember: Good morning. And thanks for taking my questions.
Christopher Metz: Good morning.
Mick Lopez: Good morning, Scott.
Scott Stember: Chris, maybe talk about online capabilities. I know that that's been an issue in the past whether it'd be drop-shipping for big online channels or individual online capabilities at the individual divisions, can you maybe just talk about how that process is going and where we are with that? Thanks.
Christopher Metz: Yes. Scott, it's a big focus area of ours. I mean, to the point where we've made some very good progress in some key areas and frankly haven't made as much progress in other areas. And it's the primary reason why we brought in a new leader of e-commerce and digital marketing. Bob Steelhammer who we brought in, I've worked with in my past, he is a just a great talent. And as you recall, a couple of quarters ago I mentioned the first order of business was really building the content and building the story. So we've got tons of products and we didn't have the content being pictures and editorials and all that kind of stuff that when people go online that they can really discover our products. We've done a huge amount of work to overhaul that. Secondly, we wanted to make sure the experiences on our websites are crisp and are really up to date. So you've seen a lot of refreshes in our brands from our website development. And we moved into some customization in this past quarter as I mentioned with Bell, Giro and with CamelBak. So, now for the first time you can go on and order a customized helmet that is the highest priced helmet in the marketplace because it's the best. And bottles for the first time you can download your and share with our team, a PDF file of family pictures and great experiences and have that printed on the bottle or whatever you want. So, we're making a lot of progress as it relates to our efforts to be much more digital friendly and e-commerce company, but a lot more to come.
Scott Stember: Got it. And talking about the new Homeland Security Ammu when you talked about $75 million, maybe just talk about the timing of that, and how we should look at that from a margin perspective compared to core ammunition business?
Christopher Metz: You know Scott we don't give a lot of color on individual contracts other than what we've won. So typically these are multi-year contracts and it takes some time to start to realize the sales. So, everything that we expect from that and from our other contracts has built – been built into our guidance. But we're excited about it, in fact I just heard last night we also won the Boston Police Department's business, so another great win, I'd mentioned last call we got NYPD and so you look across the – and that was on top of the LAPD. And so, you look across all of the police forces and men and women in uniform and we are winning not only our fair share but the majority of that. So we expect whatever I'd mentioned so far and in including the Homeland Security to start shipping this fiscal year, built into our guidance, but it will be a multi-year contract.
Scott Stember: Okay. And last question just on ammo pricing, obviously you have to deal with the competitor that you spoke of that is being very, very aggressive but what are you baking into your guidance, what level anything worse than we've seen right now or is it pretty much static with what we've seen in the last couple of quarters for the rest of the year? And that's all I have. Thank you.
Christopher Metz: Sure. So Scott the pricing that we've seen as you know – it baffles us, because you know we know with the input costs are and you know we know where pricing you know should be to be able to make a reasonable profit. And so with some of the pricing, we've seen in our discussions with our key retail partners, they're not real happy either because they may sell a bit more but the margin dollars they're going to make are less. And so it doesn't result in a sustainable situation for us or our retail partners. So you know we don't expect the impact of pricing to be at the levels that we're seeing now and remember this is only in a couple of calibers that we're seeing and so it's not across the board type of price decrease but you know we're watching it carefully. We've reacted to the extent that we need to so far and we'll continue to watch it. And as you'd expect being the industry leaders, we're not going to lose share and we're going to do we have to and we've built into our guidance what we think is a prudent amount of monies and efforts to be able to do what we need to do.
Scott Stember: Got it. That's all I have. Thank you.
Christopher Metz: Thanks, Scott.
Operator: Our next question comes from Brett Andress of KeyBanc Capital Markets.
Q – Brett Andress: Hey, good morning.
Christopher Metz: Good morning, Brett.
Mick Lopez: Good morning, Brett.
Q – Brett Andress: Good morning. If I could actually dig into your answer of that question a little bit more, it does seem like that pricing pressure a little bit worse than it has been in the past. But, is that occurring in any particular category, centerfire, rimfire, is that across the board? And is there any way you can maybe help us frame up a little bit more the magnitude of that pricing pressure that you're seeing?
Christopher Metz: Yes. So Brett, we're predominantly seeing it in 9 millimeter as well as some of the 223 556 but it's predominantly 9 millimeter and so 9 millimeter is a popular caliber. It's a – it's used in handguns and. And so I don't want to talk too much about what other folks are doing. All I know is that, it's a recent decrease in pricing that we think is unsustainable, but what we've reacted to it in the short-term and our retail partners have been happy with our reaction so far.
Q – Brett Andress: Okay. And then if I could circle back on tariffs within outdoor products, can you tell us how much of your supply chain and cost of goods in that segment is sourced through China, I guess, either directly and indirectly?
Christopher Metz: Yes. So we don't share that that level of detail for a number of reasons not the least of which is competitive reasons. But Brett, there's – there is a lot of product comes from China and so some of the categories frankly China is the only source for some of the product categories. There's not a lot of movement from us or the industry to be able to change that in the short-term. And then other categories you've got optionality both with your current suppliers that happen to have manufacturing locations in other parts of the world that we're talking to them about should we keep it or should we move it or what have you. So, we're evaluating all alternatives working with current suppliers, looking at potentially new suppliers, everything you can imagine from that standpoint. And lastly, where we have to we will adjust price to compensate, but that's not the first or second choice for certain.
Q – Brett Andress: Got it. And Mick, I don't know if I miss this, but it doesn't look like you gave us the amount of the inventory write-down. I think you called out and I think it was tactical gear. Can you give us that amount?
Mick Lopez: Yes. The amount for our BLACKHAWK inventory reduction was 2.7 million products.
Q – Brett Andress: Got it. And that wasn't adjusted out, right?
Mick Lopez: No.
Q – Brett Andress: Okay. That's all I had. Thank you.
Mick Lopez: Welcome.
Operator: Our next question comes from Dave King of Roth Capital Partners.
Q – Dave King: Thanks. Good morning everyone. First on the on the firearms growth of 19%, you have with the growth rate was at POS for firearms and then on the outdoor side other than CamelBak which was down and Camp Chef being up again. What were the trends for some of the other outdoor brands between Bushnell and Bell, Giro et cetera? Thanks.
Christopher Metz: Yes. So, Dave, we don't give out POS information because it's spotty, we get good POS data from some customers, no data from other customers. And so, in total what we try to do is extrapolate out our sell-in versus our sell-through to make sure that our inventory levels are at appropriate levels. All I can tell you is that the 110 Model refresh it has driven a lot of this success in Savage is selling through. It is getting in consumers hands and we're seeing quite a bit of reverse. The good thing about Savage too, we haven't talked a lot about this, but they make a lot of their product almost make the order. So, almost half of their business it comes in a given 30-day period of time. These orders were written that month. So, there wasn't a heavy load on products. So, [indiscernible] selling has been selling through. As it relates to the second part of your question, again we don't we don't give detailed commentary on brands and what have you, but suffice it to say that our outdoor recreation business in total, our action sports business we're relatively flat from a sales standpoint, again with Outdoor cooking it up a little bit and hydration being down a little bit. Our hunt and shoot accessories were down low single-digits, we think in line with the rest of the category. It's been soft from what we're hearing from retailers hunting and shooting accessories in general. It typically follows ammunition. So, it's not surprising to us and we're hopeful that as we go forward, we'll see an improvement there as well.
Q – Dave King: Okay. That's really good color. So, thanks for answering those. And then, on the new debt facility Metz did you say what sort of rate we should be assuming on that versus what I think was – I think like a [ph] 5.81 in the current quarter?
Christopher Metz: We did not say the specific rate, but as we've stated this is an asset base alone. We're getting much favorable rates. That comes in our first tranche, which will be a ABL revolver and that will probably be at LIBOR or plus 200 range. As you know these – these change, our second tranche will probably be at LIBOR plus 375. That is certainly much better than our current term loan, which is depending on our leverage ratio between L plus 400 to 500 where we are right now. So, year-on-year we do expect a improvement of anywhere from 70 basis points to 100 basis points again depending on levels of leverage. And we can certainly be able to give you guidance next year that will show a significant improvement in our interest expense.
Q – Dave King: Okay. That's great color as well. And then, lastly for me on the asset sales is the – is the plan there still to sell Savage, Stevens and then move on to Bell, Giro. And if so, why are you approaching it that way versus you know running both processes – processes simultaneously? And then, what sort of the current expectation on you know what you could do to that – the debt facility or you know takedown deal with that takedown that post-year sales? Thanks.
Christopher Metz: Yes. So Dave, we've – we've discussed previously that we – you know we have the bandwidth internally to only be able to handle so much. And so, I outlined in my beginning remarks that we've got a number of things going on – on a number of different fronts and some of those same resources are helping us in other areas. We took on the eyewear divestiture and that was a complicated divestiture. It was a very global business. It had a footprint in multiple countries. There was a you know – a well negotiated transition service agreement. And we're really happy with the outcome. We got, what we thought was a – above market price, I think, it was 12 times EBITDA, it was a good sale for us. Then we felt as though the timing was right for savage and so we've moved into that process, that will take us a bit of time, we're happy with what we're seeing so far. So you know we're going down that path of what we stated previously and we're going to stick the course there. We're going to go sequentially through these. In terms of how we're going to use the proceeds of the – from the sales is as we've communicated previously, our number one priority is to continue to pay down debt. We're hopeful that we'll be in the near future in a position, where we're at appropriate leverage ratios, where we can start to look at different ways to deploy our cash and our availability. And so that will include what you'd expect, which is you know potentially looking at smaller tuck-in acquisitions for some of our core brands as well as looking at potentially stock repurchases depending upon what the price of the stock is. So we haven't changed in terms of our thoughts on capital allocation and that's where we're at right now.
Q – Dave King: Okay. Great. Fantastic. Thanks for taking on my questions and nice progress.
Christopher Metz: Hey, thanks, Dave. Appreciate it.
Operator: Our next question comes from Rommel Dionisio of Aegis.
Q – Rommel Dionisio: Thanks very much. Chris, if I could just follow up on Scott's earlier question on, the law enforcement potentially in the military channel, congratulations by the way on the GHS contract. What's sort of enabling you to win – some of these police and federal law enforcement contracts as of late, is a pricing product efficacy or anything else and also – I'm also intrigued by this partnership with General Dynamics [ph] owner. If you could just expand on that a little more, I know – does that help position you with the military? I know for example the military is looking at a potential revision to the 223, because apparently [indiscernible] shoot is a [ph] Russian type of body armor. So, are you positioning for a potential contract there as well? Thank you.
Christopher Metz: Sure and good questions. Let me try to take them one at a time. So, why are we winning? What we think is our fair share in these contracts and these tenders, it's frankly because of the great products and great relationships we have and there's a lot that goes into both of those points. So, from a product innovation standpoint I think we have got the best R&D team in the industry. And you look at what we've done on the commercial side with this tungsten alloy waterfowl and Upland bird load. It's wonderful. It is terrific products. That's a whole new way of expectations in terms of shooting. What have you – we've done the 224 which is a brand new caliber. And so, we want to continue to drive that innovation. And a lot of the innovation working on internally starts with the military and the government because their requirements are very stringent, very tough and so they've reached out to us on a number of different future projects that we're working with it. We think in it's own way shape and form could work its way down into the commercial market. But the team that leads that, we have a terrific team that has developed these relationships over years and years and years and we've become a trusted source for confidential future projects as well as current tenders. The partnership with General Dynamics is very exciting. This is a big opportunity for them and a big opportunity for us. We've got lots and lots of people that are working on this RFQ that is – has just been issued and so we're – it's a long way short, right. So they won't make a decision on this for another year. And then there is another year on top of that transition. But we're in good stead there to do well on that. So – and you comment on 223 there's some confidential stuff that that – as I mentioned as a trusted partner with the military, we're looking at all sorts of different stuff as we go forward with them. And as you can appreciate, I really can't comment too much on that.
Q – Rommel Dionisio: Okay. Fair enough. Thanks very much, Chris. Congrats on the quarter.
Christopher Metz: Okay. Great. Thank you. Operator: Our next question comes from Khanna Gautam of Cowen and Company.
Unidentified Analyst: Hi. Yes, good morning, guys. Chris and Miguel, this is Jeff on for Gautam.
Christopher Metz: Hi, Jeff. How are you?
Unidentified Analyst: Good. Thank you. Thanks for taking my question. I had a question on the ammo markets again circling back to that. I think in the last quarter or the quarter before you were saying, you're picking up share this year in the first half or last year rather. In Q3 did you – did that continue or were you able to pick up any market share? And if so, what categories were you getting in it?
Christopher Metz: Yes. So, it's a little early to tell as we look back on it. But we know in some of the – I mentioned some of the centerfire product we're coming out with the hunting market. We feel like we are positioned to take share there. I also mentioned the TSS, Turkey, waterfowl and Upland bird load, we feel like we're in a position to take share there on high end shot shells. And we've innovation cross other key categories. We feel like we're taking share as well. Some of the other categories like rimfire where we're the clear market leader it's hard to tell there given the – the downswing we've seen in demand and as consumers work through their stockpiles. But in total you know we see the ammunition market, we've got yes, pretty on every FET excise taxes and what have you and in total we continue to grow our – our share position.
Unidentified Analyst: Okay. Thank you. And on the inventory levels you said the channel inventory is improving, it looks pretty good. I know it's difficult to gauge, but what would you say – do you have any color or thoughts on like personal, consumer inventory levels and stockpiling? I know it's hard to kind of get a feel for that, but any – any color would be helpful.
Christopher Metz: Yes. Jeff, I wish we had more detail to share with you there. You know we stopped short of walking into people's homes and looking in their safes and their basements. So we just don't know. But what we do know and I've mentioned this previously is we've gone out and – and interviewed thousands and thousands of users to get a feel for shooting trends and that's why we're – we're confident when we say we think shooting trends are healthy is because we've gotten direct feedback from people talking about their own consumption month-over-month, year-over-year. You know what they've shot, what they expect to shoot, and we've been able to extrapolate out from that where we think the – you know the overall shooting market is healthy. Now, how quickly do they work down their inventory? I think we were all hopeful that they would have worked it down quicker, but we don't know. We don't have a firm answer on that.
Unidentified Analyst: Okay. Thank you. That's helpful.
Operator: Our next question comes from William Reuter of Bank of America.
William Reuter: Good morning.
Christopher Metz: Good morning, Bill.
William Reuter: It sounds like you're committed to continue to use asset sale proceeds to reduce debt. Can you talk to us about where you expect leverage to be when you complete the asset sales? And then I think in the past, you've said your target leverage is 2 times to 3 times. I was wondering if you still are kind of sticking by those numbers.
Christopher Metz: Yes. We are committed to reducing our leverage ratios. You can see that we have taken in our total debt outstanding from $1.1 billion to $750 million. That is quite an achievement that with only one asset sale, a lot of it has been cash generation, taking down inventory levels, improving our capital. We will continue to apply proceeds from debt – against debt, but we are aiming for a long term between you know 2 times to 3 times leverage is what we said. I think in the short term, we also have to improve our EBITDA ratio and by improving our EBITDA ratio, we should be able to be very comfortable in that range in a year or two.
William Reuter: Okay. And then I guess the – the other question for me, your CapEx, you're guiding to $60 million for this year. I'm not sure how that might break out between your different brands. If you were to complete all of the asset sales, do you have a sense for what your CapEx would have been this year?
Mick Lopez: We still guide to the same number. I think it's fair to say that we've had a very economic approach in the first half where our CapEx is around $20 million. We are making significant improvements in our manufacturing capabilities which are on the ammunition side. That drives greater efficiencies and cost reductions as a result. We do not break it up by brand, of course, and have no intention.
William Reuter: Okay. All right. Thank you very much.
Mick Lopez: Thank you.
Operator: We have a follow-up question from Brett Andress with KeyBanc Capital Markets.
Brett Andress: Hey, thanks for squeezing me in. I just had a quick follow-up on the paddleboard business. I guess, what exactly happened with that customer and how much customer concentration risk is there in that business, and does that really change the range of the strategic options that you have available for that business?
Christopher Metz: Yes. So, Brett, when you go back to when we originally purchased the business, so a bit of the investment thesis back then was we felt like we could take a growing category and through expanding there very concentrated customer base at the time as well as new product innovation, we felt like we could grow that category in that brand. So what's happened since then is we've introduced some pretty neat innovation but so is our competition. And so we didn't introduce anything that was substantially different from what I've seen and our customer concentration did not improve. And so with the loss of one of our key customers, it puts us in a spot where we are best to look at strategic alternatives. And I'll just leave it at that.
Brett Andress: Okay. That's helpful. Thank you.
Christopher Metz: Okay. Thank you, Brett.
Operator: At this time, we have no further questions in queue. And I would like to turn the conference back over to Chris Metz.
Christopher Metz: Thank you, Operator, and thank you everyone for joining us today. Just to restate the big takeaways from this quarter, we are pleased that our results exceeded our internal plan and we have made substantial progress on our transformation plan. We've closed the divestiture of the eyewear business and have made progress on the Savage process and we've taken steps at both corporate and the brands to reduce costs and improve the profitability. I'm confident we're on track to turnaround this company deliver profitable growth and see a more successful Vista Outdoor. We appreciate your time today and look forward to speaking with you with everyone again on our next earnings call. Thank you.
Operator: Thank you ladies and gentlemen. This concludes today's teleconference. You may now disconnect.